Operator: Good day, and welcome to the Sotherly Hotels Inc. Third Quarter 2020 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mack Sims, Vice President. Please go ahead.
Mack Sims: Thank you, and good morning, everyone. If you did not receive a copy of the earnings release, you may access it on our website at sotherlyhotels.com. In the release, the company has reconciled all non-GAAP financial measures to the most directly comparable GAAP measure in accordance with the Reg G requirements. Any statements made during this conference call, which are not historical, may constitute forward-looking statements. Although we believe the expectations reflected in any forward-looking statements are based on reasonable assumptions, we can give no assurance that these expectations will be attained. Factors and risks that can cause actual results to differ materially from those expressed or implied by forward-looking statements are detailed in today’s press release and from time-to-time in the company’s filings with the SEC. The company does not undertake the duty to update or revise any forward-looking statements. With that, I’ll turn the call over to Scott.
Scott Kucinski: Thanks, Mack. Good morning, everyone. I'll start off today's call with a review of our portfolios key operating metrics for the quarter. Looking at results for the composite portfolio which remain fully open during the quarter, RevPAR decreased 63.3% over prior year reflecting a 59.8% decrease in occupancy and an 8.9% decrease in ADR. Year-to-date portfolio RevPAR decreased 60.4% over prior year with a 57.6% decrease in occupancy and a 6.5% decrease in ADR. These metrics were generally in line with our comp sets in the upper-upscale of US lodging segment and appear to be ahead of the majority of our REIT peers that have reported thus far. Similar to the second quarter the industry's third quarter performance was firmly influenced by COVID-19’s impact on travel demand as a gradual improvement in traveler sentiment reflected the progress and performance as an industry. The relative improvement performance was not without setbacks however as states and local jurisdictions struggle to strike a balance between curbing the spread of the virus and reopening their economies. During the quarter several Northeastern states implemented new travel restrictions requiring travelers from states with high infection rates to quarantine after arriving most of these have now been lifted. Several states rolled back reopening plans with restrictions on businesses and social gatherings while other states such as Florida are now operating without any significant restriction at all. Lastly during the quarter civil unrest in several of our markets led to further complications for hotel operations in those locations. Thankfully this activity has now also -- has now also subsided. Needless to say a bumpy start to the recovery for the start of the recovery nonetheless. As the broader travel industry experienced incremental improvement performance throughout the quarter as evidenced by the steady upward trajectory of airline passengers and hotel demand. Examining our composite portfolio's performance month by month, we saw a solid incremental improvement as the quarter went on and more consumers felt comfortable traveling again. Looking at RevPAR results on an absolute basis for the portfolio highlights this gradual improvement as RevPar was $36.27 in July, $40.28 in August and $44.28 in September. These figures represent a deceleration in year-over-year declines which were 38.4% in July, 58.9% in August and 57.5% in September. While certainly not attractive figures on their own they do represent consistent and meaningful steps in the right direction month-after-month. Similar to the first part of the summer, this relative improvement performance for our portfolio was led by our leisure drive-to destinations such as Wilmington, Savannah and our Florida properties. In contrast our property is located in CBD locations of more urban markets such as Washington D.C. Raleigh Atlanta and Houston have continued to be impacted by the limited improvement in travel to those more densely populated locations. It's also noteworthy that our management teams have done a commendable job maintaining rate at our properties which outperform the competitive sets year-over-year results by maintaining rate integrity our properties were able to control costs and improve flow-through during the quarter. Although the third quarter experienced a considerable improvement in performance during the second quarter -- over the second quarter -- substantial challenges lie ahead for our portfolio in the lodging industry as a whole. Intense pricing competition is underway in certain markets, further threatening the profitability of our operations. The upper-upscale segment which encompasses the majority of our properties faces added headwinds due to its reliance on group and catering revenues which have been severely limited due to social distancing measures group gathering, and size limitations and corporate travel restrictions. Furthermore although the slight uptick in business travel is encouraging this segment remains severely constrained as companies extend corporate travel restrictions into early 2021. Lastly and perhaps -- perhaps more profound, we expect the government's response -- the trajectory of the virus to be a primary driver in shaping demand of the industry. Despite these challenges we believe our corporate team and management partners have executed soundly on our strategic plan and will adapt to the evolving lodging environment moving forward. I would like to end by noting that this past month we began the process of transitioning the management of the high-centric Arlington to some of these dedicated managers Our Town hospitality with this change, which is planned to be completed later this month all of Sotherly’s properties will be managed by Our Town. We believe the change will result in improved workflow and efficiency at both the property and corporate level which we believe will in turn lead to improved results in the future. I will now turn the call over to Tony.
Tony Domalski: Thank you, Scott. Reviewing performance for the period ended September 30, 2020. For the third quarter total revenue was approximately $14.4 million representing a decrease of approximately $28.1 million or 66.1% over the same quarter a year ago. For the first nine months total revenue was approximately $56.9 million representing a decrease of $84.6 million or 59.8% over the prior period. Hotel EBITDA for the quarter was a deficit of approximately $1.2 million representing a decrease of approximately $10.1 million or 113% over the same quarter a year ago. For the first nine months hotel EBITDA was a deficit of approximately $1.3 million representing a decrease of approximately $39 million or 103.5% over the prior period. And lastly adjusted FFO for the quarter was a deficit of approximately $8.6 million, a decrease of approximately $12.8 million or 301% over the same quarter a year ago and for the first nine months adjusted FFO was a deficit of approximately $25.5 million representing a decrease of approximately $41.7 million or 257% over the prior period. As Scott mentioned due to the incremental demand experienced during the third quarter six of our 14 hotels achieved better than a breakeven EBITDA including Philadelphia, Jacksonville, our hotels in Wilmington, Laurel, Louisville and the Hyde Resort and residences. The company had total cash of approximately $23.2 million consisting of unrestricted cash and cash equivalents of approximately $15.5 million as well as approximately $7.7 million which was reserved for real estate taxes, capital improvements and certain other items. Company estimates the average monthly cash used for hotel level expenses for the fourth quarter to range between a small amount of cash generation in the month of October to no more than $0.45 million in the months of November and December. We expect corporate level general and administrative expenses to range between $0.45 million and $0.5 million per month and outlays for scheduled principal payments of -- scheduled payments of principal and interest to be approximately $1.3 million per month. At the end of the quarter we had principal balances of approximately $369.7 million in outstanding debt at a weighted average interest rate of 4.64% approximately 86% of the company's debt carries a fixed rate of interest. During the third quarter we remain committed to our action plan in accordance with our management companies to reduce hotel operating expenses and mitigate the impact of loss of business. Although we reduced hotel operating expenses by approximately 61% from the same quarter a year ago, hotel operating expenses exceeded hotel revenue by approximately $1.2 million. We have significantly scaled back our capital projects and anticipate the capital expenditures for the remainder of the year will only relate to the replacements of systems critical to the operation of our hotels. We estimate total capital expenditures to be approximately $4.4 million for calendar year 2020 most of which were already completed or well underway at the onset of the pandemic. As a result, a majority of our wholly owned guestrooms undergoing renovation over the past five years, we feel our portfolio is in a good position with no required renovations result a majority of our wholly-owned guestrooms undergoing renovation over the past five years -- we feel our portfolio is in a good position with no required renovations through the end of 2021. At the corporate level we reduced expenses by approximately 25% to a range of $1.2 million to $1.4 million per quarter -- the savings resulted primarily from reductions in regular compensation anticipated bonuses and benefits for members of the board -- the company's executive officers and employees as well as elimination of discretionary expenses. In March we announced the suspension of our dividends and a deferral of payments of dividends announced for January. The suspension and deferral eliminated draw on the company's cash reserves of approximately $4.25 million per quarter. Since the onset of the pandemic, we've had continuing discussions with our lenders regarding forbearance of current payments of principal and interest required under our loan agreements. Existing and contemplated agreements provide for deferral of current payments of approximately $3.9 million that would have been payable in the third quarter and approximately $3 million that would have been payable in the fourth quarter. While some deferrals are required to be repaid or caught up in subsequent quarters -- much of the deferral will be repaid upon maturity of the loans. The company has been engaged in productive discussions with its lenders regarding anticipated non-compliance with the financial covenants under the agreements that include them. Based on these discussions the company believes it will obtain waivers from its lenders under agreements that articulate non-compliance as an event of default. However note guarantee can be made that we will obtain such waivers -- neither can we guarantee that obtaining such favors will not come without incurring additional costs, increased interest rates or additional restrictive covenants and under lender protections related such loans. And I will now turn the call over to Dave.
Dave Folsom: And thank you, Tony and good morning everyone. I'd like to take this opportunity to recognize our corporate and hotel associates for their hard work and perseverance during this unprecedented time for our industry. Since the last earning calls and the last earnings call in August the lodging industry and our company have continued to face significant challenge as the country grapples with COVID-19 and its effect on economic activity. While we continue to see green shoots of recovery as a whole the revenue recovery trajectory for the US lodging industry has been slower than originally projected by industry experts. Despite the challenging operating environment we remain dedicated to effectively managing the factors that are within our control including mitigating risk, minimizing losses and capitalizing on available opportunities. During the quarter the company made notable progress in realigning its strategy to the new normal market environment generated by COVID-19. First and foremost we continue to prioritize the health and safety of our guests and our associates. The extensive hygiene protocols implemented at each of our hotels have been successful in protecting our guests while maintaining a welcoming guest experience. As the quarter progress, we recognize and capitalize on new trends in traveler behavior which were a direct results of the COVID-19 pandemic. Most notably was the importance of capturing transient leisure business which was further amplified by the steep decline of group and travel, group and business travel. Weekend leisure business quickly became the company's most valuable market segment influenced by pent up demand and relaxed work from home policies. Our leisure, our leisure destinations including Wilmington Savannah and Jacksonville performed well during the quarter due to their drivable coastal locations. In addition several of our markets including Philadelphia and Hollywood became prime targets for local guests to take staycations. While we do not believe this will be a permanent source of revenue that provided relatively healthy weekend business at certain locations during the quarter. The company also focused on mitigating the pandemic's financial impact, but delivering on and adapting stringent property and corporate level cost reduction initiatives implemented during the first quarter. As Tony mentioned the increased property level efficiencies reduce total operating expenses by more than 60% during the quarter. We managed to improve profitability during the quarter by increasing occupancy, maintaining rate integrity and streamlining operations. In order to streamline ops, we focused on rightsizing property services and amenities. For example, in certain markets we limited food and beverage offering hours, downsized menus, implemented just in time food shipments and eliminated valet service. Shifting guest preferences which include the desire to forgo daily service in order to minimize contact with staff have allowed our operations to improve housekeeping cost efficiencies. The lodging industry faces a number of challenges both in the near and long-term. One of the primary concerns surrounding the upper upscale logic segment as well as our company is the timeline on the return of group business. Due to government mandates group gatherings have been heavily restricted resulting in muted pickup from this segment during the quarter. In recent weeks, we've been encouraged by the modest return in smaller group functions and room blocks. However, we expect this segment to be severely limited until social gathering restrictions are lifted. The second area of concern for our industry I'd like to touch on is the return of business travel, which has been severely constraint since the outset of the pandemic due to ongoing corporate travel restrictions. While a portion of the workforce is adapted to virtual business, we expect that once travel resumes the competitive nature of business will accelerate in-person meetings and transit business demand will improve. Similar to group travel we've seen a slight increase in demand from this segment in recent weeks albeit at a muted pace. The convergence of several macroeconomic factors has resulted in a volatile operating environment for hotels. Uncertainty surrounding the passing of a necessary stimulus bill and the development of a COVID-19 vaccine are continuously shifting consumer confidence and are directly impacting the travel industry. The resolution of these events should be a game changer for our industry. Although the timeline for its rollout is still uncertain we believe today's encouraging news regarding Pfizer's vaccine and the eventual implementation of a COVID-19 vaccine program will spur consumer confidence and provide an immediate boost to traveler sentiment in the lodging industry. Until these critical macroeconomic events are resolved the pace and magnitude of the recovery will remain uncertain. We expect 2021 to be a vast improvement over 2020 and expect to see a material improvement in demand which will initially be reflected in occupancy gains with subsequent increases in rate, forecasting a full return of demand and profitability in the lodging industry remains elusive and the timeline for a full return to 2019 demand levels remains unclear. Regardless of the macro economic factors, we remain dedicated to making sound operational decisions to reduce losses and conserve liquidity while delivering long-term value for our shareholders. Strategically our foremost concern heading into the end of the year is preserving and sourcing liquidity. As Tony mentioned we still have a monthly cash burn rate and although this burn rate has slowed it still must -- we still must contend with shrinking liquidity pool. We are looking to all sources for additional liquidity including private capital and any government programs for which we may qualify and we believe we will be successful in this endeavor. And with that, operator we will open the call up to questions.
Operator: [Operator Instructions] And our first question today will come from Tyler Batory with Janney Capital Markets. Please go ahead.
Unidentified Analyst: Hi good morning. This is Jonathan on for Tyler. Thanks for taking our questions. You know obviously the industry got some positive news this morning. Can you just provide us with some thoughts on the recovery of your business and which segments or if that changes which segments may return first?
Dave Folsom: Well I think as I said in my remarks and what we've alluded to in the call is that we think there's a lot of pent-up leisure demand and with a rollout of a vaccine program I think we'll see some group business some group and some and some corporate business return. What we've seen Jonathan over the months prior to this as has been the group and the business travel, the corporate group has pushed its reservations constantly into the future. So we'll have a, we’ll have a booking, the booking will be canceled, it will roll into the future and on and on and on. At some point, I think that has become a function of confidence in whether or not these groups can actually materialize at our hotels. I think with a good vaccine program implementation by the government and the private sector then that certainty will, will be quite clear for these groups and those bookings will become definite. So that's the thesis we have. I think going into the first quarter next year.
Unidentified Analyst: Okay great. I appreciate that color. And then switching gears toward REIT. Scott touched on this in his opening remarks but you know obviously relatively strong in the quarter given the environment touched on this in his opening remarks, but obviously relatively strong in the quarter, given the environment, can you just provide some color on some of the revenue management initiatives that you’ve taken?
Dave Folsom: Yeah I mean obviously we’re big believers in revenue quality and revenue quantity. We think a race to the bottom is not necessarily a good idea for any of our hotels or any hotel in general. You get into these environments there are operators that just crash rates to give what little occupancy they can in the Dells. We have tried to avoid that sometimes it's unavoidable in this environment where rate does decline but we've taken steps to ensure that we preserve as much rate integrity as we can. And we think that's -- that positions us well when we start to get a real recovery. I mean if you've got a comment on that.
Tony Domalski: Yeah only thing I'll add to that Jonathan obviously as we've said the recovery in the demand we've seen in leisure business predominantly on the weekends in a certain markets. And the pricing power is there. But there isn't anything once the weekend's over you get to midweek. There isn't a whole world demand. So we don't see the thought process between dropping your rates mid-week just to get a couple of rooms in the hotel. So that's really where we've seen overall our rates be fairly strong at those hotels where we just keep some good rate integrity on a consistent seven day a week basis. There are some markets those as we mentioned that are starting to really see challenges. Philadelphia airport being one of them from you'll just see year-over-year rates. I mean there are some battles that we're fighting. And I think we'll be fighting those for a while coming out of this. But overall I think we've seen our managers do a pretty good job of holding firm.
Unidentified Analyst: Okay. Thank you that's very helpful. And then last one for me. Could you just provide some additional color on the occupancy trends and how they've moved into October?
Dave Folsom: Well Scott gave in his opening remarks, I mean we've seen these incremental increases since the April lows week-by-week, month-by-month we had a good spike in early September over the holiday. Leading into the election things sort of tempered off a little bit but we're still seeing gradual increases. And we -- we're still seeing that. I think now we're going to start to see those trends accelerate. A lot of those occupancy trends were a function of decisions made at the local jurisdictional level. In Florida when you saw the governor or mayors or counties relax their restrictions during the summer also and we would see a big bump in occupancy. And then if those restrictions were reinstated then you have a muted - we saw a muted occupancy trend that followed. So I think what we're going to see now with this current news and some clarity with respect to the vaccine rollout is just continued incremental increases in occupancy but this may be the news that everyone has been waiting for to start to relax travel restrictions, wants to roll out starts.
Unidentified Analyst: Okay great. Thank you for all the color. And that’s all from me.
Operator: [Operator Instructions] Our next question will come from Alexander Goldfarb with Piper Sandler. Please go ahead.
Alexander Goldfarb: Hey, how are you. So just a few questions here, one just you know looking at your cash balance from last quarter and I'm doing this in aggregate both the restricted and unrestricted you had only went down by about $2 million, you are still about the same $2 million burn rate, so I am guessing that the reason that it didn’t go down more is that all the loans that were in deferment or discussion you made no payment on any of these. So, when these get settled out then will there be a catch up on these loans or they'll just -- you'll just start payment from that date forward and the missed payments won't have to be caught up all at once.
Dave Folsom: Well, let's -- I will let Tony talk about the cash per se, but just -- just so we're clear our mortgage loans those that have or regardless of their forbearance were current on all of those. So we've not just blanket not paid our mortgages. So, we have a wide array of forbearance and modification agreements and initiatives that we've undertaken since April and then we’re current on all those, I think Tony do you want to comment on the burn versus…
Tony Domalski: I was going to echo what Dave just said. I think first off if we look back at what happened in the third quarter we ended up realizing forbearance from a number of lenders that we couldn't have projected three months ago when we truly gave our -- made our disclosures. And so and you know I think we -- we also performed better from our hotel EBITDA perspective than what we were forecasting. I think as far as what happens in the future you know we have ongoing discussions with our lenders. When we first began talking to them back in April everybody thought this was maybe a three months problem or a six months problem and you know every three months we’re on the phone with our lenders updating them as to what our you know what -- what the outlook is for each of our properties and the kind of forbearance that we would like to have. Every three months we’re on the phone with our vendors, updating them as to what our, what the, what the outlook is for each of our properties and the kind of forbearance that we would like to have and with it's a, it's a smorgasbord, some lenders you know want a fixed repayment schedule over deferred interest, others of them are willing to put it onto the back end of the loans. Other, and yet others are willing to say let's wait and see. And if the property generates extra cash then let's take the extra cash when the property takes generates the extra cash if they generate the extra cash.
Alexander Goldfarb: Okay. So just, just so we’re all clear and we're all using I guess, yeah simple English just so we're on the same page all of the loans that you have against all of your hotels. All those loans are current on payments or some of those have been, you’d been paying at a lesser rate whether it be at interest or modified principal. I just want to make sure that I'm just clear on everything that way we can sort of you know force forecast how you guys are going to emerge from this?
Tony Domalski: I think what Dave was saying is that we're within the terms of our agreements as they've been modified with the lenders. So if, if the agreement was in place a year ago called for monthly payments of principal and interest list of $100,000 a month we may not have paid that. But as we've been able to negotiate a forbearance agreement with the lender we're in we're in compliance and within terms of that forbearance agreement.
Alexander Goldfarb: Okay so, so we're clear that you've gone to the lenders you've gotten waivers adjustments. What have you and with those new terms you're now current.
Dave Folsom: I think that’s, that’s right. We're on the phone every week with lenders basically we’re.
Alexander Goldfarb: So whatever was the original versus now that Delta that's an individual discussion whether it gets tacked on to the end, whether you make accelerated to try and cover that, but the point is that…
Dave Folsom: You’re correct.
Alexander Goldfarb: …once you've modified the loans, you're now paying. Okay, got it, got it. That's helpful. The second question is, you guys have -- what's your split of CMBS versus individual hotel loans. So how many of your hotels have individual loans and how many are in CMBS pools?
Dave Folsom: We have three CMBS loans of the 12 mortgages.
Alexander Goldfarb: Okay. So there no individual loans, they're all pooled into CMBS?
Scott Kucinski: No, no, there's three individual CMBS loans on three individual hotels with 12 individual mortgages on 12 assets, three of which are CMBS loans. None of our hotels, none of our mortgages are pooled or cross collateralized, everything's solid individually on each hotel asset.
Alexander Goldfarb: Okay. So there's no cross collateralized. Okay. That's good. That's important. And then just a final thing and we'll put today's announcement aside. But you know it definitely has seen that the Sun Belt has been just doing a lot better than the coasts. You mentioned some of your hotels were impacted by some of the social unrest. But then you also mentioned that Philly was breakeven and certainly you know Philly would -- I would think would fall into the latter category. So can you just comment a little bit more on the hotel performance especially with some of your breakeven hotels, and has it been just in general just economic improvement in the area or there's certain dynamics that are going on that are specific to some of your hotel locations that have been more the driver?
Dave Folsom: Well, in some locations as Scott mentioned in the outset that we've got leisure destinations in Wilmington, Savannah those types of locations that's been the catalyst for the improvement at or above a breakeven level, because and in some of those states and locations where there are minimal restrictions on activities. Leisure destinations in Wilmington and Savannah -- that those types of locations -- that's been the catalyst for the improvement at or above a breakeven level -- and in some of those states and locations where there are minimal restrictions on activities -- so that -- that's been a dynamic qualifier -- I guess if you want to term it that way and some other markets it's been far more restrictive from a government standpoint and if you're in a center city urban core location with an upper-upscale full-service hotel that's hasn't been a good equation for the last six months …
Scott Kucinski: Give you an example in Georgia -- right so Savannah is getting all the weekend leisure demand driven to it from Atlanta and the surrounding markets. But nobody from Savannah is driving to Atlanta in the middle of week to do business. So I mean that's really the situation that we're in. And just actually -- to answer your point on Philadelphia -- there’s common anomaly -- you know it's not -- obviously our hotel is not in the CBD -- you know Philly it's out of the airport. And there has been a little bit of an airport business at the property, but it's also seen some leisure business from the local -- that when we reference the staycation that was one hotel that had a lot of locals come and stay at the property. We have an indoor pool -- I think that was a bonus. And so that was a bit of -- a difference of demand that we normally don't see in that property that has helped that property perform throughout the summer.
Dave Folsom: I mean like it really had a lot of downtown hotels that were closed some of which -- some of which carry Hilton flags. So we were actually getting a small amount of business that otherwise would have gone down to our hotel through the Hilton reservation system a nominal amount, but you know when everything is closed downtown we're open. It does help.
Operator: [Operator Instructions] And this will conclude our question-and-answer session, I'd like to turn the conference back over to the management team for any closing remarks.
Dave Folsom: Well thank you operator. Thank you all for dialing in this morning and everyone have a good day. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.